Operator: Ladies and gentlemen, thank you for standing by. Welcome to the BioLineRx Second Quarter 2021 Results Conference Call. All participants are presently in a listen-only mode. Following management’s formal presentation, instructions will be given for the question-and-answer session [Operator Instruction] I would now like to turn over the call to Tim McCarthy of LifeSci Advisors. Please go ahead.
Tim McCarthy: Thank you, operator. Before turning the call over to management, I would like to make the following remarks concerning forward-looking statements. All statements in this conference call other than historical facts are indeed forward-looking statements. The words anticipate, believe, estimate, expect, intend, guidance, confidence, target, project and other similar expressions are used typically to identify such forward-looking statements. These forward-looking statements are not guarantees of future performance and may involve and are subject to certain risks and uncertainties and other factors that may affect BioLineRx’s business, financial condition and other operating results. These include, but are not limited to, the risk factors and other qualifications contained in BioLineRx’s annual report on Form 20-F, quarterly reports filed in the 6-K and other reports filed by BioLineRx with the SEC to which your attention is directed. Actual outcomes and results may differ materially from what is expressed or implied by these forward-looking statements. BioLineRx expressly disclaims any intent or obligation to update these forward-looking statements. At this time, it is now my pleasure to turn the call over to Mr. Phil Serlin, Chief Executive Officer of BioLineRx.
Philip Serlin: Thank you, Tim and good morning everyone. And thank you for joining us on our second quarter earnings conference call today. Earlier this morning, we issued our Q2 results press release, a copy of which is available in the Investor Relations section of our website. It was also filed as a 6-K. As is our custom, I will begin with some brief prepared remarks and then Mali Zeevi, our Chief Financial Officer, will provide a short discussion of our financial results. We will then open up the call to your questions. Also joining the call for Q&A are, Adi Vainstein, our Chief Medical Officer; and Ella Sorani, our Chief Development Officer. I would like to begin this morning with a brief recap of the overwhelmingly positive results from our Phase 3 GENESIS clinical trial, which we announced in May. The GENESIS study evaluated Motixafortide on top of G-CSF, the current standard-of-care versus G-CSF alone in stem-cell mobilization for multiple myeloma patients undergoing autologous hematopoietic stem-cell transplantation. The main objective of this study was to demonstrate the Motixafortide on top of G-CSF provides superior mobilization relative to G-CSF alone, resulting in more cells collected fewer doses of G-CSF administered and fewer apheresis sessions required. All of which provide meaningful clinical benefits for patients while saving potentially significant money for payers and the entire healthcare system. We covered the results in detailed during our last quarterly update, but we believe a few key highlights are worth repeating. First, the study met all primary and secondary endpoints with an exceptionally high level of statistical significance, a P value of less than 0.0001. Perhaps most notably, approximately 90% of patients who received Motixafortide in G-CSF underwent transplantation after only one administration of Motixafortide. And then only one apheresis session, this compares to 10.8% for G-CSF alone. In addition, while not a head to head study, this compares very favorably to results from the registrational study of plerixafor, which demonstrated that approximately 54% of patients went to transplantation after one administration of plerixafor on top of G-CSF and in one apheresis session. Using the current standard-of-care with G-CSF alone, several apheresis sessions are generally required to collect the optimal number of stem-cells. However, somewhere between 30% and 50% of patients are unable to reach this optimal number of stem-cells. Due to the ability of Motixafortide in the vast majority of cases to enable the collection of an exceptionally high number of stem-cells following one administration with only one apheresis session, thereby lowering the number of G-CSF administrations apheresis sessions and related adverse events, we believe there's a compelling case to be made regarding the potentially significant clinical benefits as well as health system costs benefits that can be achieved with Motixafortide if approved. We also know that the higher number of cells collected allows for the transplant of an optimal number of cells, as well as enabling the storage of a sufficient amount of remaining cells for future transplantation without the need for additional mobilization in apheresis procedures. In this regard, we are running a pharmacoeconomic cost effectiveness study that we believe will demonstrate our case for the use of Motixafortide as the backbone for all new stem-cell mobilization procedures. This study is progressing as planned, and we look forward to reporting data by the end of this year. In addition, we continue to perform additional analyses that were predefined in the statistical analysis plan, as well as post-hoc analysis of the GENESIS data set and look forward to presenting our additional findings from the study at future medical meetings. As previously mentioned, this program represents our fastest track to registration. And to that end, we are aggressively working on activities in support of a U.S. new drug application or NDA, which we plan to submit in first half of next year. We are making preparations now for a pre-NDA meeting with the agency that we anticipate will occur prior to the end of this year. If ultimately approved in this indication, we would begin our transition to accompany with a commercial stage molecule, the most important and transformational milestone that we will have achieved as a company to this point. We would have a commercial stage molecule in one indication with significant potential utility in other cancer types as well, most notably pancreatic cancer, which we will discuss next. In addition, based on the strength of the GENESIS results, we are also exploring development of Motixafortide and other stem-cell mobilization indications as part of its lifecycle management program. Turning now to our pancreatic cancer program or PDAC. Recall that in December we announced positive final results from the Phase 2a COMBAT/KEYNOTE-202 study of Motixafortide in combination with Merck’s anti PD-1 KEYTRUDA and chemotherapy as a second line therapy, a total of 43 patients initially diagnosed with unresectable stage four metastatic PDAC who had progressed following first-line gemcitabine based therapy or enrolled in a triple combination arm. Data from this study demonstrated a substantial and consistent improvement across all study endpoints as compared to historical data, including median overall survival, median progression free survival, confirmed overall response rate, overall response rates and disease control rate. As we've previously indicated, we continue to prepare the next development steps regarding this program, including continuing to engage in discussions with potential biopharma partners to collaborate on a randomized controlled Phase 2/3 study. In addition, we were actively engaged in productive discussions with potential commercialization partners for stem-cell mobilization. The high level of interest we are receiving reflects the versatility of Motixafortide as the potential backbone of innovative new cancer treatments, something that we have demonstrated in two high need indications so far. Regarding our second innovative candidate AGI-134, we continue to advance our Phase 1/2 clinical study evaluating the safety tolerability and proof of mechanism in multiple solid tumor types. The study is designed to evaluate a wide array of biomarkers and assessed both clinical and pharmacodynamic parameters. In September, 2019, we announced positive safety data, and later that same month, we moved quickly to initiate Part 2, the dose expansion phase. As we have previously disclosed in 2020, the COVID-19 pandemic impacted enrollment for a period of time, but enrollment did resume earlier this year. In order to improve enrollment and make up some of the time loss during the pandemic, we have worked diligently to open new sites across Spain, and these sites are already beginning to recruit patients. At this time, we still hope to report data in the second half of this year in line with our prior guidance. Although, due to the recent severe worsening of the COVID-19 pandemic throughout most of the world, there may be some delays. From a balance sheet perspective, we are on a very solid financial footing, with approximately $66 million of cash, which we believe enables us to achieve multiple potentially value creating milestones this year and next. I would now like to turn the call over to Mali Zeevi, our CFO who will give a brief overview of our key second quarter financial statement items. Mali, please go ahead.
Mali Zeevi: Thank you, Phil. As is our practice, in our financial discussion we will only go over a few significant items on this call, research and development expenses and cash. Therefore, let me invite you to review the filings we made this morning, which contained our financials, operating and financial review and press release for additional information. Research and development expenses for the six months ended June 30th, 2021 were $9.4 million, a decrease of $0.6 million or 6.4% compared to $10.1 million for the comparable period in 2020. The decrease resulted primarily from lower expenses associated with the Motixafortide GENESIS and COMBAT clinical trials and a timing difference related to a tax credit received in respect of AGI-134, offset by higher expenses related to Motixafortide NDA supporting activities and by an increase in payroll and related expenses due to a companywide salary reduction in connection with the COVID-19 pandemic in the 2020 comparable period. Turning to cash. As Phil indicated, we held $66 million of cash, cash equivalents and short-term bank deposits as of June 30th, 2021. And with that, I'll turn the call back over to Phil.
Philip Serlin: Thank you, Mali. In closing, as is our custom, I would like to take a few moments to summarize our key upcoming milestones. First, data from the pharmacoeconomic cost benefit study of Motixafortide in stem-cell mobilization in the second half of this year, a pre-NDA meeting with the FDA for stem-cell mobilization in the second half of this year as well, initial results from Part 2 of the Phase 1/2a trial of AGI-134 in solid tumors also in the second half of this year, an NDA submission for stem-cell mobilization in the first half of next year 2022. And in addition, we are planning to present additional data from the GENESIS trial at upcoming medical meetings to be determined. In summary, we achieved the most significant milestone in our company's history with the outstanding positive results of the GENESIS study in stem-cell mobilization. We also continue to work on the advancement of our PDAC program as well as AGI-134 and believe that potentially significant value creating milestones can be achieved this year and in 2022.  Our solid financial footing with approximately $66 million of cash also provides us with ample resources to achieve such milestones. We are pleased with our continued progress and we look forward to providing future updates. With that, we have now concluded the formal part of our presentation. Operator, we will now open up the call to questions.
Operator: Thank you. Ladies and gentlemen, at this time, we will begin the question-and-answer session. [Operator Instructions] The first question is from Jason McCarthy of Maxim. Please go ahead.
Unidentified Analyst: Hi, everyone. It's Dave on the line for Jason. Thanks for taking my question. I was just wondering, do you currently plan on having discussions with any X-U.S. regulators regarding a potential marketing approval for Motixafortide? And secondly, can you shed some color on the steps you've taken to potentially mitigate the impact of the worsening COVID-19 pandemic with respect to your other clinical trials that are ongoing? Thanks.
Philip Serlin: Sure. So, with regard to other regulatory agencies, of course, right now, our key focus is on the U.S. and the FDA. We're -- as we mentioned, we're putting forth extensive efforts to get ready for the pre-NDA meeting with the FDA at the end of this year and the NDA submission in the first half of next year. We will start to put together a plan on the -- on Europe, et cetera. But as I said, I think that will have to wait until we've made significant progress in the NDA submission.  Ella, do you want to add anything to that? Okay. The second question was that the steps we're taking to mitigate COVID-19, Abi, would you like to go ahead?
Abi Vainstein-Haras: Yes. Actually what we did when we saw that it might be a problem, the recruitment due to COVID in the -- here in Israel, as well as in U.K. and U.S., we immediately put a mitigation plan to increase their probability of recruitment by adding another country and opening new sites. It takes time until you can activate them and do it. The period of the COVID, the lockdown, we did all the regulatory and task that needs to be done in order to open the site. We have been able to open this month three sites in Spain and at the beginning of this month we are aiming to open another three by the end of this month. It's same as already bring a few patients. And also U.K. who was locked down for a long period of that time, beginning to -- the recruitment -- to begin to recruit the patients again. We are very -- we hope that we can wrap up and recruit all the patients by the end of the year. And we are doing all the efforts in order to meet the timelines.
Philip Serlin: I want to ask -- I've mentioned one other thing about the submissions and other regulatory areas as well, I think one of the things that we believe is important is also we believe that the process with the FDA and what we learn from that process will help inform us quite a lot -- as to how to approach things with the -- in Europe, for example. So that's another reason as well.
Unidentified Analyst: Great. Thanks for the additional color. Yeah. I appreciate it.
Philip Serlin: No problem. Have a good day.
Operator: The next question is from Joe Pantginis of HC Wainwright. Please go ahead.
Joe Pantginis: Hey, everyone. Good afternoon. Good morning. Thanks for taking the question. I have …
Philip Serlin: Hello.
Operator: The questionnaire not answering. We'll go to the next one. The next question is from Mark Breidenbach of Oppenheimer. Please go ahead.
Mark Breidenbach: Hey, guys. Thanks for taking the questions. Maybe we'll hear more from Joe in a few minutes. But, just with respect to your upcoming pre-NDA meeting, can we expect you to communicate regulatory feedback to the street in 2021, or would that news more likely come in early 2022?
Philip Serlin: It's difficult to say. I mean, I think that we would like to communicate the results of our meeting with the FDA. It depends exactly when that meeting occurs. I think also the minutes of usually take a few weeks after the meeting in order to come out. And so, I think we would obviously want to wait for the formal minutes just to make sure that, that there's complete clarity about everything we heard at the meeting. So, it's hard to say. We're hoping that it'll be by the end of this year, but I think that's where we are right now, but I can't guarantee that.
Mark Breidenbach: Okay. Fair enough. And two quick kind of data presentation questions. First, can you remind us how many patients to expect from the dose expansion portion of the 134 study and if these results will include translational data from biopsies? And the second question is just on that Columbia sponsored triple combination of Motixafortide in pancreatic cancer. Is that something we could still see data from by mid-2022? I think as you guys had guided a while ago. But thanks for taking the questions.
Abi Vainstein-Haras: I will take this one. The first one about the AGI, we are aiming to recruit 35 patients. The idea -- the main purposes of this study is to further confirm the mechanism of faction of AGI-134. And for this purpose is what we are doing is the very wide biomarker assessment in blood test, as well as a genetic test and a few more base assessments. This is a very -- we are putting a lot of work on this study because we believe that based on the data, it is critical for the further development to show all the -- these parameters, all these biomarker parameters in order to decide how to move forward and in which direction to move forward. As I said -- you ask which kind of assessment, again, we have biopsies for the patients before and after treatment. And we have biopsies of the patients in the area of the injection, as well as in distant lesion in order to prove what we call the abscopal effect is the activity of the AGI that showed that if you inject in one lesion, you can have effect in other lesions. This is the reason for what AGI have BLA designation, because it's related to the potential vaccination activity. And we are hoping to have all these data when we complete the recruitment of the patients.
Ella Sorani: And just to reiterate what Abi just said, we are using really all state-of-the-art methodologies in order to make these assessments, multiomics, NanoString, PCR sequencing. So, we are looking forward to that. The second question was …
Mark Breidenbach: Okay. Great. And with respect to the Columbia sponsored trial?
Abi Vainstein-Haras: Sure. About the Columbia study, it's an investigator initiated study. The investigator have a collaboration with Regeneron and with us, we are working together, but it's lead by the -- lead BI and we don't have a lot of place to help in the increase the recruitment. However, the investigator is doing a great job and he's including all other sites to the study. Also the Brown University is also part of this trial and we hope to have an increase in the recruitment based on this new addition to the study.
Mark Breidenbach: All right.
Philip Serlin: Mark, can I just go back? I also just want to emphasize, I just -- I guess I don't want any misunderstandings. We have -- every intent I'm talking about the pre-NDA meeting. We have every intent of having that meeting this year. Again, it's just not clear as to when the minutes, et cetera, will come out and when we'll feel comfortable maybe putting out some guidance on that. We hope to do that as well by the end of this year. We just can't guarantee it.
Mark Breidenbach: Yeah. That makes perfect sense. And it really just depends on how late in the year that meeting ends up happening. Thanks for clarifying and thanks for taking the questions.
Philip Serlin: Thanks. Have a great day.
Operator: The next question is from Joe Pantginis of HC Wainwright. Please go ahead.
Joe Pantginis: Can you hear me now, guys?
Philip Serlin: Yeah. We lost you. We were …
Joe Pantginis: Okay. Fantastic. I'm not sure what happened there because I wasn't on mute. So, I apologize. I have a data question and two logistical questions. So, first from a data standpoint, when you look at the SCM data, and I guess this goes to some of your prepared comments, Phil. If you could sort of frame maybe the percentage of patients that had enough cells to freeze, that would be -- that could reach the parameters in case a second transplant was needed.
Abi Vainstein-Haras: I will take this instead of Phil. Actually, we don't have that percentage of patients who freeze itself because it's not an input of the study. But when we saw that patients who, for example, mobilized, I don't know, 15 million cells were transplanted with 5 million or 6 million. We understand that we know that they keep some cells for the future. We didn't add -- since we didn't tell the sites and investigators, how many cells they need to transplant, we need to tell them how many cells they keep in their private preservation. But what we understand, based on the number of cells that they investigate, the receiver, they decide how many cells will transplant and how many cells to keep. And there is a difference and they don't throw up the cells, okay? And as I said before, if you have a patient with 15 million mobilized on the -- and 7 million transplanted, the other are going for a private preservation, the exact percentage is something that we didn't access at the start of the study endpoints.
Joe Pantginis: No. That’s really helpful.
Abi Vainstein-Haras: But what we know, that the media number of cells that the patients who received BL-8040 mobilizes 8 million, if the optimal numbers of -- more than 8 million -- sorry. If you need to -- if we -- we think that we need to add a infuse and transplant more than six or more than five, we can keep more cells for the future.
Joe Pantginis: Got it. No. That's helpful. Thank you very much. And then, with regard to my first logistical question, and this also goes to Mark's question, because obviously there's a lot of anticipation with regard to your upcoming NDA and FDA feedback. So, I guess, I'll come from where you are today and what you feel are the key discussion points ahead of this meeting.
Philip Serlin: Yeah. So, I mean, I'm not sure that we can really talk about that. Right now, I think that we're in the process of putting together our questions and our briefing package, et cetera, et cetera. We haven't disclosed that. I think it's -- I don't think it's something that we can talk about publicly at this point. I'm sorry, Joe.
Joe Pantginis: I have to ask. And then the second part is, when you look at Motixafortide oncology program, obviously the big focus is on the upcoming randomized study and the potential partnership around that. But when you look at the totality of the oncology program and other indications that you can go into and potential partnering around that, what -- how can you sort of describe internal activities to help bolster the oncology program? Like, for example, would the company look to run its own oncology study in another indication, while potential partnership discussions are ongoing? And what can you do to sort of help these discussions along?
Philip Serlin: It will -- first of all, we have a lot of -- we're planning and we have a lot of ideas about the next studies that, that need to be done. Certainly, the next a randomized controlled study in pancreatic cancer. And so, we're putting together the plans for that study. We're talking in parallel with multiple partners. The question is whether at this stage we intend to invest more funds. We have limited funds. We're putting most of our efforts into the NDA submission, the NDA process, et cetera, et cetera. The question will be whether at this time we intend to invest more funds or more significant funds in another study. And that's something that we're still discussing internally. Of course, we do have the option of collaborating with other companies, for example, where we're doing an investigator initiated study, which we're doing right now, as you know, with Columbia University. And so, we have a lot of options on the table. And again, I think that one of the questions for us is whether we want to invest in a large study on our own, we're continuing discussions with partners and collaborators and do it under a collaboration.
Joe Pantginis: Got it. And so, it just sounds like you certainly have a good level of flexibility. But thanks for the feedback, Phil.
Philip Serlin: Thank you. Have a great day.
Operator: [Operator Instructions] There are no further questions at this time. Before I ask Mr. Phil Serlin to go ahead with his closing statement, I would like to remind participants that a replay of this call is scheduled to begin two hours after the conference. In the U.S., please call, 1-888-295-2634. In Israel, please call, 03-925-5904. Internationally, please call, 972-3925-5904. Mr. Serlin, would you like to make your concluding statement?
Philip Serlin: Yes, I would. Thank you. This concludes our call this morning. Having recently achieved the most significant milestone in our company's history the outstanding positive results of the GENESIS study in stem-cell mobilization, we continue to work vigorously to make an NDA submission in the first half of next year. We also see significant potential upside in our pipeline as we continue to work on advancing the development of our PDAC program and our AGI-134 program through potentially significant value creating milestones in the remainder of this year and in 2022. We are proud of the continual evolution of BioLineRx into a company with a potential commercial stage assets, which encourages us to foster the innovative development activities that we believe represent the significant long-term value drivers for shareholders. Thank you all very much for your continued interest in BioLineRx. We look forward to providing our next comprehensive update in November. Be safe and have a great day.
Operator: Thank you. This concludes the BioLineRx second quarter 2021 conference call. Thank you for your participation. You may go ahead and disconnect.